Operator: Greetings. Welcome to Orion Properties' First Quarter 2025 Earnings Call. As a reminder, this conference is being recorded. I would now like to turn the call over to Paul Hughes, General Counsel for Orion. Thank you. You may begin.
Paul Hughes: Thank you and good morning everyone. Yesterday, Orion released its results for the quarter ended March 31, 2025, filed its Form 10-Q with the Securities and Exchange Commission, and posted its earnings supplement to its website at onlreit.com. During the call today, we will be discussing Orion's guidance estimates for calendar year 2025 and other forward-looking statements. which are based on management's current expectations and are subject to certain risks that could cause actual results to differ materially from our estimates. The risks are discussed in our earnings release as well as in our Form 10-Q and other SEC filings, and Orion undertakes no duty to update any forward-looking statements made during this call. Today, on the call, we will be discussing funds from operations, or FFO, and core funds from operations or core FFO and other non-GAAP financial measures. These non-GAAP financial measures are not a substitute for financial information presented in accordance with GAAP, and Orion's earnings release and supplement include a reconciliation of our non-GAAP financial measures to the most directly comparable GAAP measure. Hosting the call today are Orion's Chief Executive Officer, Paul McDowell; and Chief Financial Officer, Gavin Brandon. And joining us for the Q&A session are Gary Landriau, our Chief Investment Officer; and Chris Day, our Chief Operating Officer. With that, I am now going to turn the call over to Paul McDowell.
Paul McDowell: Good morning everyone and thank you for joining us on Orion Properties first quarter earnings call. Today, I will highlight the progress we are making executing on our new business strategy and discuss our first quarter performance and operations. Following my remarks, Gavin will review our financial results and provide our outlook for the rest of the year. With over 450,000 square feet of leasing completed as of May 6, we are successfully building on last year's strong leasing momentum that saw Orion lease 1.1 million square feet. Specifically, the over 450,000 square feet of leasing is a combination of new and renewal transactions with a weighted average lease term of 7.4 years. Included in this total is a 15.7-year lease for 46,000 square feet at our Parsippany, New Jersey property, bringing that formerly vacant building to more than 60% leased to two tenants. In addition, we signed a new 10-year lease for 160,000 square feet in Buffalo, New York with Ingram Micro, who will be relocating from our Amhurst, New York property. We are encouraged by the strong leasing activity to start the year as it reflects the slowly improving market tone we started to see last year. We continue to work hard to sustain this momentum. However, we cannot control the impact from the very significant macroeconomic uncertainty that has been injected into the broader markets recently. Given the smaller size of our portfolio, there will be significant variability in leasing spreads quarter-to-quarter and even year-to-year as we lease individual properties. To that point, initial rent spreads on renewal leases during the first quarter were off about 18%, primarily related to the particular dynamics of the properties renewed in specific markets. To give a more rounded picture, when measured on all leasing activity since the spin, our initial rent spreads are down about 5% and ending rent spreads are up about 7% on average during the same time period. Orion's operating property occupancy rate was 74.3% at quarter end. The operating property lease rate was 77.4% and the weighted average lease term was 5.2 years. Although we anticipate tenant retention to remain challenged this year, we expect that our portfolio occupancy will begin to rise after this year as we continue to lease vacant space, sell vacant properties that do not meet our long-term goals and generally work to overcome the significant lease expirations and rollover of the past few years. This will be important as we continue to work to reduce property operating costs. After the quarter end, we closed on the sale of three vacant properties totaling 287,000 square feet for a gross sales price of $19.1 million or approximately $66 per square foot. One of those transactions is the sale of 119,000 square foot traditional office property located in Denver, Colorado to a developer who intends to convert the vacant office building into multifamily affordable housing. This transaction was two years in the making and was executed at a purchase price of $101 per square foot showing our creativity and patience in order to achieve the best possible result. Additionally, two properties totaling 211,000 square feet are currently under contract for $27.3 million or $129 per square foot, with one sale scheduled to close later in the quarter and the other early in the fourth quarter. These transactions demonstrate our continued ability to monetize non-core assets and redeploy capital, while improving the overall quality and durability of our remaining portfolio. We expect to have additional dispositions throughout the remainder of the year. We've made significant progress in reorienting our portfolio since our spin despite an unprecedented collapse in demand across the broader office markets. And we believe the progress we have made positions us well to capitalize on our strategic plan to build a more stable, long-duration property mix. As discussed on last quarter's call, we are shifting our portfolio concentration over time away from traditional generic suburban office assets and toward dedicated use assets or DUA properties where our tenants perform work that cannot be replicated from home or relocated to a generic office setting. These property types include medical, lab, R&D flex and non-CBD government properties, all of which we already own. Our experience is that these assets tend to exhibit stronger renewal trends, higher tenant investments and more durable cash flows. At quarter end, approximately 32% of our portfolio by annualized base rent and approximately 25% by square footage were dedicated use assets, and we expect this percentage to increase over time through disposition activity and targeted acquisitions. The continued demand we're seeing for dedicated use assets reinforces our confidence in this direction. While leasing pace and interest is improving, it is from a very low base. What has not changed is the many challenges all office property owners, including Orion, must continue to address, including obsolescence of properties. To that point, tenant concessions remain high and rents continue to be pressured on both renewals and re-tenanting. Furthermore, the governmental uncertainty around DOGE could cause additional leasing unpredictability around our government-owned assets. That said, we continue to have productive and routine interactions with the GSA. For example, following a relatively short 50-day delay, we received approval from the GSA to perform the landlord work at our Lincoln, Nebraska property, and that new 86,000 square foot lease is expected to commence in December 2025. Additionally, nearly our entire GSA portfolio is in the firm term, during which the GSA does not have the option to terminate the lease and none is located in the immediate Washington, D.C. area. Turning briefly to the balance sheet. As we have been communicating for more than three years, Orion has been very successful maintaining significant liquidity to support our ongoing leasing efforts. To do so, we have sold vacant properties, used sale proceeds and cash flow to pay down debt, manage G&A, have been highly selective and targeted on acquisitions and recently aligned our dividend policy. As a result, at May 5th, our liquidity remains strong at $244.5 million, represented by cash on hand and the available balance on our revolver. We will inevitably see debt levels rising on both an absolute and debt-to-EBITDA basis in coming years, which we expect to be offset by anticipated earnings growth in subsequent years. We anticipate that the next year or two will represent the low point for our revenue and core FFO earnings, followed by accelerating growth as we move into 2027 and beyond. As we head into the second quarter, we have solid leasing activity momentum, and we remain focused on investing in our well-located properties within target markets. To support this, we will continue to fund capital expenditures that enhance asset value that enable us to lease space, retain tenants and attract new ones. Our disciplined approach to capital allocation, including maintaining a low leverage balance sheet over the past several years has positioned us to navigate the current environment even as we face continued cash flow pressure from higher interest rates, elevated vacancy from recent lease roll, and the impact of the 22 properties we've sold. From a G&A perspective, we are highly cognizant that as a smaller company evolving our strategy and shrinking the size of the portfolio before growing, we must control this line item. To that point, as mentioned last quarter, our Chief Investment Officer, Gary Landriau, will retire on June 30, and we will reallocate his responsibilities internally. Gavin and I have foregone any salary increase for this year. Average salary increases for the rest of the Orion team are below inflation. And as inevitable attrition has occurred, we have shrunk our optimal headcount. That said, it is imperative that we maintain the team to operate as a public company and to execute on our asset management intensive strategy to manage our portfolio given the growing multi-tenant component. We recognize as a smaller-sized REIT that G&A as a percentage of assets and revenues is of particular importance, and we are doing our best to ensure that they are aligned. Importantly, due to these efforts, along with other initiatives, we remain solidly profitable on both an FFO and core FFO per share basis. With another strong quarter of leasing and asset sales behind us and a healthy leasing pipeline ahead, we are encouraged that Orion's transformation is heading in a positive direction. We look forward to further portfolio stabilization and building on the company's many strengths. With that, I will pass the call to Gavin.
Gavin Brandon: Thanks Paul. Orion generated total revenues of $38 million in the first quarter as compared to $47.2 million in the same quarter of the prior year. We reported a net loss attributable to common stockholders of $9.4 million or $0.17 per share as compared to a net loss of $26.2 million or $0.47 per share reported in the first quarter of 2024. Core FFO for the quarter was $10.7 million or $0.19 per share as compared to $20.4 million or $0.36 in the same quarter of 2024. Adjusted EBITDA was $17.4 million versus $26.7 million in the same quarter of 2024. The changes year-over-year are primarily related to vacancies and timing of leasing activity. G&A in the first quarter came in as expected at $4.9 million, consistent with the same quarter of 2024. Savings to G&A brought on by our restructuring efforts Paul mentioned earlier, will begin to contribute in the third and fourth quarters of this year. CapEx in the first quarter was $8.3 million compared to $3.4 million in the same quarter of 2024. As we have previously discussed, CapEx timing is dependent on when leases are signed and work is completed on properties. CapEx will likely increase over time as leases roll and new and existing tenants draw upon tenant improvement allowances. Turning to the balance sheet. At quarter end, we had total liquidity of $227.8 million, comprised of $9.8 million cash and cash equivalents, including the company's pro rata share of cash from the Arch Street joint venture and $218 million available capacity on the credit facility revolver. As Paul discussed, we intend to maintain significant liquidity on the balance sheet for the foreseeable future to fund expected capital commitments to support our future leasing efforts and provide the financial flexibility needed to execute on our business plan for the next several years. We ended the quarter with $531.2 million of outstanding debt, including a $355 million CMBS loan that is a securitized mortgage loan collateralized by 19 properties maturing in February 2027. $132 million of floating rate debt on the credit facility revolver maturing in May 2026, $18 million under the mortgage loan for the San Ramon property maturing in December of 2031, and $26.2 million, representing our share of the Arch Street joint venture mortgage debt maturing in November of 2025 with a borrower option to extend for an additional 12 months until November of 2026. On May 6th, 2025, Orion's Board of Directors declared a quarterly cash dividend of $0.02 per share for the second quarter of 2025, payable on July 15th, 2025, to stockholders of record as of June 30th, 2025. Moving on to our outlook for 2025. We are reaffirming our expectations for our full year 2025 guidance for core FFO range of $0.61 to $0.70 per diluted share, G&A range of $19.5 million to $20.5 million and net debt to adjusted EBITDA is expected to range from 8 times to 8.8 times. Excluding non-cash compensation, we expect 2025 G&A will be in line or slightly better than 2024. With that, we will open the line for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Mitch Germain with Citizens Bank. Please proceed with your question.
Mitch Germain: Good morning. I'm curious about tone of discussions with prospects and if you're seeing any sort of lengthening of the deal pipeline for leases?
Paul McDowell: Good morning Mitch. And by lengthening, you mean the decision-making period from -- for a tenant to make a decision to stay in the property?
Mitch Germain: Exactly. I know it's been longer than typical, and I'm curious if that's shifted even more unfavorably.
Paul McDowell: Well, it has been long. Ever since the sort of the collapse in the market, we've experienced long delays in tenants making decisions. I'd say our portfolio is a little idiosyncratic in that we've got a small number of properties. So, any given renewal in any given quarter has an outsized impact. I would say that we have not yet noticed a big change in the decision-making speed, but that decision-making speed has still been quite long for the past six months or a year. We have had -- on the GSA front, we've had a little bit of interaction with the GSA. And as I mentioned in my prepared remarks, we did have a delay there of an approval from the GSA that we expected to happen relatively quickly. But in fact, it took about 50 days to occur, but then it did, in fact, happen, and we're off to the races. So, haven't yet seen a big impact on the current environment of the decision-making.
Mitch Germain: That's helpful. Curious about -- I think you made some opportunistic property sales of occupied assets. Is there any sort of background that you can share on, I think, one closed in April and one is pending for the fourth quarter? Anything you could share there?
Paul McDowell: Yes, I mean the assets we sold were vacant and we have a couple that are pending, one that continues to be occupied, but that has a very, very short lease term. I would say we have been quite pleased with the ability to get properties sold and the absolute value at which we've been able to sell them. And that includes some of the ones that are in the future, the ones we have this year, we've got some -- what we think is favorable pricing from an average perspective as compared to where we have been selling properties. But again, each property is individual in nature, and it has its own characteristics. And our buyers, for the most part, are focused on these individual properties and willing to pay what we think are good prices for them. On a going-forward basis, I think we will look to sell -- we may look to sell stabilized properties if we think that we can recycle that capital into dedicated use assets that gives us longer duration and more stabilized cash flows.
Mitch Germain: Got you. So, three sold, two under contract, how -- are you testing waters now with vacant and occupied assets? Is that how we should consider how this process may play out?
Paul McDowell: Yes. That's exactly how you should consider it, Mitch. We are -- in fact, we have a number of properties, what I would characterize as in the market. And by that, I mean, we have brokers engaged who are looking to gauge where the potential sales could be, and that's for both for vacant properties and for occupied properties. And look, I would say that pretty much every time we have a vacant property that's for lease, we also advertise it for sale at the same time. So, we're always constantly evaluating the market. Our anticipation is that we will have some additional sales this year, but we have to see where the pricing comes out.
Mitch Germain: Got you. Last one for me. I have to apologize for my memory. What's happening with the former Walgreens assets?
Paul McDowell: I'm going to let Gary Landriau answer that one.
Gary Landriau: Yes, Mitch. So, we are under an agreement with an institutional group that is currently marketing the site, trying to develop a list of prospects that would anchor the site. And it will ultimately be converted to -- my expectation is some retail and entertainment combination of users. We've also gotten the green light to begin work to demolish the existing office buildings. So, that work is starting. It's done mostly to reduce our carry cost, but also because we expect the development to start sometime in 2026 is our expectation, although obviously subject to a lot of factors.
Mitch Germain: So, the deal would be subject to them being able to execute on some sort of lease, right? Is that the way to think about it?
Gary Landriau: That's correct. They're in due diligence right now on the site, on the prospects, and on the feasibility of the business plan that they're developing.
Mitch Germain: Excellent. And congrats to you, Gary, on fantastic career and appreciate your time guys. Thank you.
Gary Landriau: Thank you very much Mitch.
Operator: Thank you. And we have reached the end of the question-and-answer session and I would like to turn the call back over to the management for closing comments.
Paul McDowell: Okay. Thank you all very much. We appreciate you taking the time this morning and we look forward to further updating you at the conclusion of the second quarter. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.